Operator: To all sites on hold, we do appreciate your patience and ask that you continue to stand by. Please stand by. Your program is about to begin. If you need audio assistance during today's program, good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to Fox Factory Holding Corp's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I'd now like to turn the conference over to Toby Merchant, Chief Legal Officer at Fox Factory Holding Corp. Thank you, sir. You may begin.
Toby Merchant: Thank you. Good afternoon, and welcome to Fox Factory's First Quarter 2025 Earnings Conference Call. I'm joined today by Mike Dennison, Chief Executive Officer, and Dennis Schemm, Chief Financial Officer and President of the Aftermarket Applications Group. First, Mike will provide business updates, and then Dennis will review the quarterly results and outlook. Mike will then provide some closing remarks before we open up the call for your questions. By now, everyone should have access to the earnings release which went out earlier this afternoon. If you have not had a chance to review the release, it's available on the Investor Relations portion of our website at investor.ridefox.com. Please note that throughout this call, we will refer to Fox Factory as FOX or the company. Before we begin, I would like to remind everyone that the prepared remarks contain forward-looking statements within the meaning of federal securities laws, and management may make additional forward-looking statements in response to your questions. Such statements involve a number of known and unknown risks and uncertainties, many of which are outside the company's control and can cause future results, performance, or achievements to differ materially from the results, performance, or achievements expressed or implied by such forward-looking statements. Important factors and risks that could cause or contribute to such differences are detailed in the company's quarterly reports on Form 10-Q and in the company's latest annual report on Form 10-Ks, each filed with the Securities and Exchange Commission. Investors should not place undue reliance on the company's forward-looking statements, and except as required by law, the company undertakes no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events, or otherwise. In addition, where appropriate in today's prepared remarks and within our earnings release, we will refer to certain non-GAAP financial measures to evaluate our business, including adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted net income, adjusted earnings per diluted share, adjusted EBITDA, and adjusted EBITDA margin, as we believe these are useful metrics that allow investors to better understand and evaluate the company's core operating performance and trends. Reconciliations of these non-GAAP financial measures to their most directly comparable GAAP financial measures are included in today's earnings release, which has also been posted to our website. And with that, it is my pleasure to turn the call over to our CEO, Mike Dennison.
Mike Dennison: Thank you. Thanks, Toby, and thanks to everyone for joining today's call. I'm pleased to report that we delivered a solid start to 2025, with first quarter sales coming in above expectations at $355 million, representing growth of 6.5% over the prior year, and adjusted earnings per share of $0.23, which was in line with our expectations. Importantly, our plan called for meaningful sequential improvements across our businesses, particularly in gross margin. And to that end, I'm pleased that we delivered a 200 basis point sequential increase in gross margin to 30.9%. The operational improvements and strategic cost management initiatives we outlined during the fourth quarter are well underway, with many of the actions completed and starting to deliver results across all three businesses, which was illustrated by continued strong sequential adjusted EBITDA margin improvements in both our PVG and AAG segments. This progress, combined with revenue growth on a year-over-year basis across the segments, underscores the balance between cost management and our relentless focus on new product development. While external market conditions remain uneven across many of our product lines, we're meeting our financial commitments through disciplined execution on the factors within our control. This has become all the more important in the current environment overshadowed by tariffs. Our cost optimization strategy, which began last fall, is helping us be more nimble in addressing near-term challenges and positioning us for sustained margin improvement and enhanced free cash flow generation as we progress through the year. And while our near-term focus is on financial performance improvement, we remain committed to investing in innovation, which underpins everything we do here at Fox and is the basis by which we are creating meaningful customer engagements with our performance-defining, race-winning products. Building on the momentum from last quarter, we're making significant strides in the four key initiatives we have discussed in prior calls, which are driving tangible sequential improvements across our businesses. First, simplifying and consolidating our footprint.
Dennis Schemm: We've now completed the closure of one of our three Taiwan facilities, with cost benefits expected to materialize beginning in Q2. This strategic move temporarily impacted overhead absorption in SSG in the first quarter but sets the stage for improved margins going forward without materially compromising our capacity for growth as the cycle advances. Our teams continue to make progress optimizing our global manufacturing presence with additional footprint consolidation efforts underway. Second, portfolio optimization. We're making targeted improvements to our product mix, focusing resources on our highest-performing items and strategic growth categories. This disciplined approach contributed to our overall gross margin improvement and is helping us allocate capital more efficiently while maintaining our innovation edge. We continue to launch new products at record levels across our businesses, which is not only supporting near-term revenue stabilization but also setting us up for long-term growth and expansion. Third, working capital management. We've continued to work on improving our supply chain practices, both in terms of ensuring proper inventory of high-demand products as well as our broader sourcing strategies in light of the current tariff dynamics at play.
Mike Dennison: And fourth, our cost reduction program. While the full impact of these actions will progressively build throughout 2025, toward our goal of realizing $25 million of cost savings across G&A and cost of goods within 2025, the actions taken to date give us confidence that more substantial benefits will materialize beginning in the second quarter and carry through the balance of the year. Importantly, these actions represent more than just cost-cutting. They're about strategically repositioning our business to operate more efficiently and offset temporary pressures from market conditions and tariffs. Combined with our strategic approach to diversify our business across segments, products, channels, and geographies, we're creating a resilient organization that can win even while extraneous market dynamics remain challenging. And now turning to our segment performance. In our Powered Vehicles Group, first quarter net sales were $122.1 million, up 3.4% over the prior year quarter. This growth was primarily due to the expansion of our motorcycle business, which offset lower industry demand in our traditional powersports product lines. We were pleased to see our segment adjusted EBITDA margin improve sequentially by 50 basis points to 11.8%, given strong cost controls and cost improvement actions. Stabilization as premium truck OEMs work through model year changeovers. Our premium truck category continues to demonstrate resilience even as the broader market remains cautious. Tariff impacts on future demand are yet to be known. However, we believe the premium vehicle category is more insulated than the broader market. Our return to motorcycles was long overdue and particularly exciting for our team, given this is where it all started fifty years ago with Bob Fox in his garage. We already have a great roster of marquee customers, with expansion to new customers planned for the future. These new motorcycle relationships are helping offset softness in other areas of powersports and demonstrate the enduring value of the FOX brand as the standard across any performance category. In our Aftermarket Applications Group, we delivered both top-line growth and significant margin expansion, with net sales increasing 9.9% to $111.9 million from $101.9 million in the prior year period. Sales and increased demand for aftermarket products. Like PVG, AAG has also improved adjusted EBITDA margin, delivering 15.2%, which represents a sequential step up of 330 basis points and a cumulative improvement of 590 basis points since Q3 of 2024. The progress on margin improvement reflects the hard work of the entire AAG team, to stay focused on executing the strategy while delivering improved profitability on our journey to return to best-in-class profitability. The improvements we are seeing in AEG reflect a more targeted approach with our dealers and improved vehicle mix, which is better aligned to customer demand. Elevated inventory levels continue to pose challenges to the broader market, but our ability to drive revenue and margin expansion in this environment speaks to our strategic focus and improved execution. Our aftermarket components business continues to show strong performance with sustained growth in wheels and lift kits, reflecting the strength of our product pipeline and the ongoing work in our sales and marketing programs. Importantly, the one plus one equals three strategy continues to enable AAG to deliver best-in-class product solutions to our enthusiast customers across all types of powered vehicle platforms, creating sustainable value that builds on the intrinsic strength of our brand portfolio. In our Specialty Sports Group, we delivered top-line growth with net sales increasing 6.6% to $121 million from $113.5 million in the prior year period. Growth was strong across our bike business especially, as we are seeing early signs of normalizing inventory levels across the categories that we lead. Our Marucci business was stronger than forecasted as well, lifted by early success with new product launches and increased demand for our Torpedo bats. FSG segment adjusted EBITDA margins decreased to 19.3%, which represents a temporary sequential decline from the fourth quarter of 320 basis points. This EBITDA margin compression was anticipated in our outlook and primarily reflects seasonality, lower overhead absorption, and investments in product engineering. During the quarter, we completed the consolidation of one of our three facilities in Taiwan to improve our utilization and drive lower overhead costs going forward. We expect to begin realizing the financial benefits of this consolidation in Q2. The year-over-year growth in SSG illustrates the success of our innovation strategy in both bike and baseball, where new products and category expansion are increasing our addressable market by bringing our performance-defining technology to more enthusiasts, both seasoned veterans and new entrants. In Marucci, we're making excellent progress as MLB's official bat partner. We're seeing tremendous market interest in products, including the recent fervor over the Torpedo bat. All of this is in large part because of our relationship with the MLB, which has expanded our outreach capabilities to spread the word on Marucci Invictus and our ability to innovate in diamond sports. The Torpedo Bat serves as an example of a halo product that creates enhanced consumer awareness for baseball and our brands collectively. People who didn't follow baseball are now talking about baseball and players at all levels to use what their heroes use, creating a powerful connection between our brand and our customers. While the first quarter didn't enjoy the benefit of a bat launch, such as Caddx last year, we continue to build momentum through strategic investments in both baseball and our rapidly emerging softball.
Dennis Schemm: Business. Recently, we launched Azure, a new fast-pitch softball bat that is taking the market by storm and causing us to be sold out temporarily across numerous models. The softball market offers a large new opportunity, and we're in the very early innings of creating meaningful market share. By leveraging our combined Fox and Marucci engineering expertise, we're accelerating product innovations across premium performance brands, creating a stronger, more resilient group of businesses that can capture additional growth over the long term. Finally, I'll share some high-level comments on our outlook, which Dennis will review in more detail. Based on our first quarter performance, second quarter-to-date trending results, our latest forecast from our partners across all segments, and the current view of tariff implications on our supply chains, we are reaffirming full-year 2025 guidance. While we anticipate continued challenges in the broader market environment, our expectations still provide top and bottom-line improvement year on year as we progress through the balance of 2025. With the benefits of our cost optimization initiatives becoming more tangible in the second quarter and building strength in the second half. On tariffs, our teams are continuously analyzing the latest developments closely, and we're implementing mitigation strategies across including cost reductions, commodity index-based adjustments, and price increases where appropriate. While our manufacturing footprint is well-positioned relative to these policy shifts, we recognize the potential for broader industry impacts and are working hard to be able to adapt accordingly.
Mike Dennison: It is worth mentioning that what may be obvious to many already, we cannot control or predict consumer confidence in general, and our guidance doesn't contemplate any potential significant recessionary impacts associated with the longer-term tariff headwinds nor potential long-term disruption of other companies' supply chains as they attempt to adjust their strategies to mitigate these issues. As to some what we can control, operational efficiency, innovation, and strategic growth initiatives will drive long-term value for our shareholders. Our team continues to demonstrate resilience and adaptability, and I'm confident in our ability to build on sequential positioning us to restore our best-in-class adjusted EBITDA margin profile. And with that, I'll turn the call over to Dennis.
Dennis Schemm: Thanks, Mike, and good afternoon, everyone. I'll begin by discussing our first quarter financial results and then move to our discussion on the balance sheet, cash flow, and capital allocation strategy, before concluding with a review of our guidance. Q1 results. Total consolidated net sales in the first quarter of fiscal 2025 were $355 million, an increase of 6.5% versus sales of $333.5 million in the same quarter last year, primarily reflecting growth across all segments. Our gross margin was 30.9% in the first quarter of 2025, consistent with the same quarter last year. Adjusted gross margin, which excludes the effects of amortization of acquired inventory valuation markup, was 30.9% compared to 32.3% in the prior year quarter, primarily because of the significant mix shift to power sports and away from automotive OE offset by our cost reduction initiatives. Our sequential gross margin and adjusted gross margin increased 200 basis points and 170 basis points respectively, supported by the realization of our cost reduction initiatives. Total operating expenses were $360 million, primarily impacted by a non-cash goodwill impairment charge of $22 million. The impairment was triggered by the decline in our stock price. Excluding this impact, our adjusted operating expenses as a percentage of net sales decreased approximately 30 basis points to 23.8% in the first quarter of 2025 compared to 24.1% in the same period last year. The company's tax benefit was $3.6 million in the first quarter of fiscal 2025 compared to a tax benefit of $1.3 million in the same period last year. Net loss in the first quarter of fiscal 2025 was $259.7 million or negative $6.23 per diluted share, compared to negative $3.5 million or minus $0.08 per diluted share in the same period last year, primarily due to the goodwill impairment. Our adjusted net income was $9.8 million or $0.23 per diluted share compared to $11.9 million or $0.29 per diluted share in the first quarter last year. Adjusted EBITDA was $39.6 million for the first quarter of fiscal 2025 compared to $40.4 million in the same quarter last year. Adjusted EBITDA margin was 11.2% in the first quarter of 2025 compared to 12.1% in the first quarter of fiscal 2024. The decrease in the adjusted EBITDA margin was primarily driven by the mix shift in PBG from Automotive OE to Power Sports offset by our continuous improvement efforts. Moving to the balance sheet and cash flows. For the first quarter ended 04/04/2025, inventory rose by $4.1 million or 1% compared to fiscal 2024 year-end driven by purposeful increases to strengthen stocking positions in our aftermarket businesses within AAG to support demand and to build inventory in advance of the tariff impact. While we have driven down our prepaids and other current assets by over $26 million from Q4, largely due to the benefit of our AAG chassis inventory optimization plans, overall working capital increased compared to the prior quarter due to the typical season builds from Q4 to Q1. I'd like to stress that working capital will continue to be an area of focus for us as we continue to focus on improving cash flow. Our revolver balance of 04/04/2025 was $163 million versus $153 million as of 01/03/2025. And our term loan balance was $547 million versus $552 million on 01/03/2025, net of loan fees. As we have mentioned during the past few calls, optimizing our capital allocation strategy with a focus on paying down debt is our number one priority for capital allocation. We continue to see a clear path to reducing our net leverage to approximately three times by year-end. Moving to the outlook for the second quarter and the full year 2025. We are reaffirming our guidance for the full fiscal year 2025, which reflects sales in the range of $1,385 million to $1,485 million, adjusted earnings per diluted share in the range of $1.60 to $2.60, and a full-year adjusted effective tax rate in the range of 15% to 18%. Underpinning our full-year guidance are several key assumptions that remain unchanged, including continued growth in AAG, a gradually stabilizing environment in PBG and bike, with performance consistent with 2024 levels in terms of absolute dollars. Continued momentum in Marucci, benefiting from our new MLB partnership taking effect and our upcoming schedule of exciting new bat launches both in softball and in baseball. Revenue and margin improvement weighted toward the second half of 2025 as OE customers normalize channel inventory production schedules and we've progressively realized benefits from our $25 million cost-out reduction plan. We continue to expect 30% to 35% of the savings to impact our first half earnings weighted towards the second quarter and the remainder coming in the second half. For the second quarter of fiscal 2025, we expect sales in the range of $340 million to $360 million and adjusted earnings per diluted share in the range of $0.32 to $0.62. Importantly, our guidance includes consideration for the direct effects of net cost impacts from the ongoing tariff developments. Though the impact of tariff policies on consumer demand remains uncertain, overall, new and expanded tariffs will continue to post significant challenges for our industries. We have quantified the potential gross impact of tariffs to be in the range of $50 million on a full-year basis, which is approximately 5% of our cost of goods sold. So we clearly have exposure to tariffs, but I would add that our exposure is relatively better positioned compared to others in our industry. Our team has been working hard to identify and action mitigation strategies, many of which including supply chain mitigation and targeted pricing actions are already underway. So as you consider our guidance reiteration today, I'd mention that we came into 2025 with a plan that was conservative given the broader macro uncertainty. While tariffs weren't explicitly included in that build, given the uncertainty at the time, the wide range in EPS we provided, particularly at the lower end, incorporated enough flexibility to accommodate various scenarios, including these tariffs effects. Our prudent planning approach combined with our mitigation strategies and cost reduction initiatives gives us confidence in reiterating our full-year guidance despite these headwinds. While we remain cautious about the near-term market environment, given ongoing industry headwinds and tariffs, we are encouraged by the sequential margin improvements we've seen in both our AAG and PBG segments. These improvements, coupled with top-line growth across all three segments and the conviction in our new product launches in Marucci and Victus, give us confidence in our ability to execute our operating plan and deliver on our financial commitments for the year. Our strategic focus remains on improving margins and enhancing free cash flow generation through our comprehensive cost optimization and operational excellence initiatives. These initiatives, along with our commitment to working capital efficiency, position us well to strengthen our balance sheet and create long-term value for our shareholders. Mike, back to you for closing remarks.
Mike Dennison: Thanks, Dennis. Our first quarter results demonstrate the early benefits of our strategic initiatives across all segments. As Dennis noted, the sequential margin improvements in PDG and AEG, coupled with strong SSG growth, validate our operational focus and execution. Our diversified portfolio provides multiple growth avenues despite uneven market conditions. The cost optimization actions we've taken are already delivering results and will continue building momentum through 2025. We remain focused on the core of our business, delivering premium, performance-defining products that resonate with enthusiasts while creating sustainable value for our shareholders. In closing, I am incredibly proud of the Fox team. Our people have shown dedication, focus, grit, and endless amounts of energy to continue to deliver on our objectives. With as much market volatility, customer chaos, and growing unease as exists today, it would be easy for the teams to lose focus, patience, and commitment. At a time when it is difficult to predict next year, let alone next quarter, we continue to remain resilient and optimistic about our ability to win. I couldn't ask for anything more as their leader. With that, operator, please open the call for questions.
Operator: We'll go first to James Duffy with Stifel. Please go ahead.
James Duffy: Thank you. Hi, guys. Very nice execution against a really wild backdrop here. I have two questions for you on the demand front and then a balance sheet question. Starting on the demand side, Mike, can you maybe speak to an update of what you're hearing from your bicycle OEM partners with respect to expectations for tariff influence on their business, any sort of pricing actions they might take, and what they're hearing from their dealership partners?
Mike Dennison: Yeah, Jim. Good question. You know, it's a spectrum, right, across our OEM customers and bike from the small folks to the much bigger folks. And it's also a spectrum from American-based companies, Asian-based companies, and European-based companies. So, we're seeing a pretty wide degree of response to, you know, all the macro inventory levels as well as tariffs. And so it's different levels of confidence. In general, we haven't seen any of the bike companies take down demand as a function of tariffs or as a function of a lessening consumer appetite for bikes. So the positive is we haven't seen anything that's the negative. We do see some companies faring slightly better in the environment as you would. And of course, in Europe, you know, is a whole different answer or discussion than the US is. So on the whole, we're very confident or very positive on what we've seen so far. I think it's still early days. I mean, let's get into Q3 and Q4 to see how the back half of the year looks. But we're benefiting from some great product launches and from pretty enthusiastic customers right now who are kind of riding that wave.
James Duffy: Great. I appreciate that perspective. I wanted to ask about the upfitting business. Very encouraging to see growth there. Can you call out some of the key drivers and give us an update on what you're seeing with dealer relationships and how you're thinking about prospects for that upfitting business in coming quarters?
Mike Dennison: Yeah. A lot of that is execution and starts at the product level. Getting the right products in the market. You know, there is consumer demand, but you've got to make sure you're delivering the right products at the right price point. In our upfit business, the team's done a great job making sure that we're delivering those products. The dealer count and adding new dealers has also helped us. So, we've got a few factors kind of working in our favor as we enter this year. And we've gotten a better mix of Shelby's, I'd say, as well with better Lariat's out of Ford. So, you know, all in all, between product mix, better execution, better sales strategy, and better dealer development, we are seeing that in the numbers.
James Duffy: Great to see and kudos to the team for that. And then, Dennis, just one for you. I think both you and I are watching the balance sheet closely. You made great progress on the prepaids. I'm hoping you can speak in more detail to the quality of your inventory. Can you maybe size the advanced build contributions and speak to any opportunities for inventory to potentially be a source of cash in coming quarters?
Dennis Schemm: Yes, that's a great question. And so working capital is one of my top priorities for 2025. Free cash flow is the other for sure. And so when we are thinking about inventory, we are very, very purposeful and strategic about where those builds would occur. And we were pinpointed in getting more favorable stocking positions for our aftermarket businesses, particularly in sport truck, RideTech, and custom wheelhouse. Making sure that we have the right levels of inventory to support that demand there. As we move forward, we're going to continue to look for opportunities to rightsize and optimize across the businesses. So I feel really, really good about the focus. You know, that's one of the things that Mike keeps pointing out is the focus. The teams are more focused than ever before on free cash flow generation and improving EBITDA margin percent. And so it's great to see this showing up in the sequential results.
James Duffy: Excellent. Thank you, guys. Best of luck. Hey, Jim. Hey, Jim. You can't get off the call without us saying congratulations on your retirement. You're gonna be missed, my friend. You're gonna be missed.
James Duffy: Oh, thank you so much. Yeah. It's been a pleasure to work with you. I very much appreciate your support for the franchise with Peter giving continuity, you can expect Stifel's coverage remains strong.
Dennis Schemm: Well, we hope to talk to you along the way, so don't be a stranger.
James Duffy: Very good. I look forward to staying in touch.
Mike Dennison: Thanks, Mike. Bye.
Operator: And next, we'll go to Larry Solow with CJS Securities. Please go ahead.
Larry Solow: Yes. Hi. It's Pete Lucas for Larry. You guys covered a lot of my questions. Just, I guess, curious about your efforts outside of the United States. A few quarters back, you highlighted some of the international opportunities.
Dennis Schemm: In particular on the auto OEM and upfitting side. Just wondering if you had any updates on that front. Terms of new product development, OEM partnerships, or anything we should know about there?
Mike Dennison: Yes. I mean a lot of continued development in that area. We've been focused on what's happening in the U.S. as well. So a lot of folks in the U.S. But you know one of the things that's interesting Peter is that as you think about like wheels as an example, wheels are a tariff item, coming from Asia to the U.S.
Dennis Schemm: What's helped us is the fact that our method wheel business and the custom wheelhouse business is an international business. And we can sell wheels both here in the U.S. and in Australia, the Middle East, and other places. So having the ability to expand and grow globally has been a nice step up for us in the ability to have diversification geographically. Also, one of our biggest growing bike customers is a Chinese company. So expanding our relationships even in China, which is a difficult conversation right now as you can imagine, but expanding those relationships gives us diversity. So whether it's an upfitted truck, a wheel, baseball bats in Japan which are booming, or even the bike business in China. We absolutely are leveraging that international growth to help offset any issues here at home.
Larry Solow: Great. Thanks. And then just one last follow-up. Just wondered any updates on the Gainesville plant, anything special going on there? Just basically just general updates.
Mike Dennison: Yes. One thing I'll call out, and it wasn't in the prepared remarks nor one that I had thought of until you just asked the question. One of the things about tariffs is insourcing or resourcing production back to the U.S. from offshore. One of the things the team in Gainesville has done a fantastic job on is moving that insourcing up by about a thousand basis points. From 60% to 70% on machine parts moved into Gainesville. So that ability to move inside our four walls versus doing it outside of our four walls has been really important, not tied to tariffs, it was actually happening naturally and organically before tariffs. But that change over the last year is significant for our ability to respond and support our customers without the significance of tariffs. So Gainesville is doing well. We have recently moved Toyota to Gainesville. And it's going fantastic. So from my perspective, it's been a long road getting Gainesville to where it is now, but really proud of the team for making that progress.
Dennis Schemm: Yes. And it's a great point because one of the things that you saw in the numbers we talked about the significant mix shift and that impact on gross profit. Well, sequentially, however, you saw the team improve 50 basis points quarter to quarter. That is exactly the cost improvement work that Mike is talking about in its flowing through.
Operator: Thank you. And next, we'll go to Michael Swartz with Truist Securities. Please go ahead.
Michael Swartz: Hey guys, good evening. Hi, maybe just to touch on the tariffs. I know there's a ton of uncertainty and I appreciate you guys kind of framing the gross impact. But as we look at 2025, just a little more color on your ability to absorb or offset that. I would assume that we're talking probably a half-year impact to the maybe $25 million-ish on a gross basis. Maybe just run through how exactly you're gonna go about offsetting that.
Mike Dennison: Yeah. I mean, that's about an hour-long conversation, Mike. So let me give you the highlights and see if we can cover as much as we can. You know, it's different by business. So, you know, whether it's PBG, or custom warehouse business, as I mentioned earlier, or baseball, you really have kinda three different strategies and probably 20 different actions associated with those different businesses. But on the whole, some of it comes down to commodity price index changing. So aluminum tariffs are a function of commodity indexing. That flows through our OEMs. And we're working with our OEMs to mitigate as much of that as possible, and it's not an easy conversation. So don't get me wrong. It's not like we just change the price tomorrow and off we go. Those conversations are happening or having some good success with those OEMs as we work through that unlimited tariff issue. Some of it's insourcing or resourcing as I mentioned earlier. That work is longer in duration to get done. But obviously, it's something that we started before tariffs and we'll continue to drive. In baseball, we started a manufacturing facility in Taiwan. Not us, it's a partner of ours that has a manufacturing facility. So we've moved some baseball bats to Taiwan. We've also moved some finishing of baseball bats in both composites and aluminum to both Baton Rouge and discussed sales. So we actually moved some of that onshore. To reduce some of the impact of tariffs in that scenario. In Wheels, we had already had a strategy to move a good chunk of our wheel business outside of China to other locations in Asia. Wheel manufacturing is predominantly an Asian activity. It doesn't happen here in the U.S., so it would be hard to move that onshore. But a lot of that work started before the tariffs as I mentioned and we'll continue to drive it going forward. So from a supply chain and manufacturing footprint, again keep in mind most of our manufacturing footprint as you know is in the U.S. or on the continent. We're not sitting too bad and we've done a lot of really hard work to do some execution very well against moving as much as they can and mitigating as much as they can. They'll continue to do that. We're early innings of this game. As you know, we're in the first inning and we need to get through eight more. But so far, very positive in what we've accomplished. The second half of the tariff thing is really not about supply chain and manufacturing, it's about how does your brand withstand tariffs? How does that hold up? With your set of brands? And then how does the consumer demand look? Demand, I'm not going to spend much time talking about because as you mentioned and we all know, pretty hard to call the ball on consumer demand. We'll have to wait and see what inflationary issues occur, what recessionary issues occur in those kinds of things. We're not going to try to contemplate that. But our brand strength really resonates here in the U.S. with being whether it's Marucci, Victus, Fox, or others. Very much an American brand story. I think we get the benefit of that American brand story with our enthusiasts and our customers. So seeing some tailwinds associated with that as we move through this. So again, yeah, at the gross level pretty big number. Not something we take lightly, but a lot of work by a lot of people in this company to try to track that number down. We'll keep working at it. We'll keep you guys appraised of how we're doing. Quarter by quarter as we get through it.
Michael Swartz: Right. That's super helpful. And then second question, just I know I'm going to get this question, so I'm just going to ask it. Given that you came in above the high end of your revenue range, did you see any discernible, maybe, pull forward in the quarter from people trying to buy ahead of tariffs to buy ahead of price increases?
Mike Dennison: Great question. No, not really. I mean, we saw not a few pull-ins, but they were really tied to product launches. We've got a lot of product launches this year and they tend to sometimes sit right around quarters in, you know, pivoting from one quarter to another. And we saw some of that, you know, power happen more maybe in Q1 versus Q2. But on the whole, not a lot of buying ahead of anything. So, you know, maybe we see that in Q2. Haven't seen it yet, but maybe we see that Q2 as we get closer to kind of that second half of the year where maybe more tariff impact could be. But so far, no, we're feeling pretty good about where we are.
Michael Swartz: Thank you.
Operator: Perfect. And next, we'll go to Anna Glaessgen with B. Riley Securities. Please go ahead.
Anna Glaessgen: Good afternoon. Thanks for taking my question. I'd like to piggyback on Mike's question touching on tariffs. Thinking about the indirect impact further down the supply chain from you, within the bike business, are you generally within Asia shipping within Taiwan and then, therefore, subject to that reciprocal tariff down the line? Or your partners are or is there anything no, that's being shipped from China?
Mike Dennison: No. Nothing significantly shipped from China. In the bike business, we delivered to our OEMs on the island. So then the OEMs typically bring it across either Europe or the U.S. And obviously, the tariff conversation is very different whether you're talking about Europe or the U.S. Where we have a little bit more direct tariff impact would be in our aftermarket businesses. In that area, we've actually done a pretty good job of building inventory in advance of the tariffs to give us some buffer. And all that's factored into our thinking for the back half of this year. But generally speaking, we work with our OEMs to help them be successful in this environment more so than a direct impact to us.
Anna Glaessgen: Got it. Thanks. And then within the prepared remarks, talked about improving the product mix and not helping margin. Can you elaborate a little bit more on if that was a SKU rationalization or shifting the mix and if that was concentrated to any one segment?
Mike Dennison: It's across the segments. Part of our cost initiatives and as part of our look at the business to make sure we are driving the most profitable parts of our business and allocating capital to the most profitable parts of our business. We spend a lot of time looking at our catalogs and the different things that we are doing and really focusing on, you know, if we're going to innovate and if we're going to spend the money for innovation, let's make sure it's the right product level and serving the right consumer demand. So it's pretty much across the board. I would say there's some highlights both in PVD and the vehicle makeup in bike. Some of our product launches happening in Q1 and Q2 are at the very high end of the range, probably higher than we've been before. In some of our forks and some of our new technologies. So we are really focusing on that kind of ultra-premium level right now and that seems to be serving us well. And then just broader expansion of portfolio and things like wheels where we have the raised wheel category now, not just the method wheel category. So trying to create a more diversified product portfolio on the higher end of the different brands and platforms giving us some ability to pivot and move as we kind of go through this volatility.
Anna Glaessgen: Great. Thanks, guys.
Dennis Schemm: Thank you.
Operator: Next, we'll go to Bret Jordan with Jefferies. Please go ahead.
Bret Jordan: Hey, guys. Good afternoon. On the PVG side, I think last quarter you called out a lot of manufacturers. You're now doing business with maybe BMW and Triumph and I think Ducati and you'd mentioned the motorcycle business is up. How much of the PBG growth was sort of infill orders with new customers on that motorcycle side versus selling sort of organic sales growth?
Mike Dennison: Best way to answer that, Brett, is on the automotive side, as forecasted. So we had forecasted a bit of a lower automotive quarter, just from a stand not not because of tariffs. Obviously, we didn't have tariffs back in our original forecast anyway. But we expected the Q1 to be a little lighter on the automotive side. So you have that piece. And then on the powersports side, we continue we expected continued softness and saw it. In powersports. So that has not disappointed if you will. Probably the wrong word to use, but that's what I'll use. It's gotten softer as expected and really motorcycles has offset more than offset some of that softness in powersports. So, you know, automotive was kind of right where we thought it would be. Power sports was soft as we expected it to be. And motorcycle picked up the difference especially in that space. Aftermarket was up. So, aftermarket business is as you can imagine, you know, interest rates are high and people can't buy new trucks, tend to fix the trucks they've got. And so aftermarket tends to do well in that. It did well for us in Q1. And we expect it to do pretty well in Q2 as well.
Bret Jordan: Okay. And can you remind us on the seasonality of Marucci?
Mike Dennison: I sort of didn't imagine would sell in as the start of baseball season. And peak early, but it is that doesn't seem to be the case that you called out bikes where the strong piece of SSG. Is you've got seasonality a little bit wrong. Keep in mind, seasonality is a function of kind of the seasons of baseball or softballs and maybe but it's also about the seasonality of product launches. And most of the time you launch like our Azura bat as an example is a pre-launch into the direct-to-consumer space right now. Ultimately, it will be a launch into our retail partners later this year. So most of the big launches through retail brick and mortar happened kind of Q3, Q4 in preparation for the holidays and some of those things. Early launches get out there or to get out there in the field, get them in players' hands and things like that. And that happens in kind of Q1, Q2 and probably majority Q2. So when you think about seasonality, it's not just tied to hey, the season's starting. It's time for a new bat. There is some of that. But it's also tied to when in the year do you go direct to consumer? When in the year do you go to big box and those things have a probably an outsized impact on your quarterly revenue charts. Versus just when baseball season starts.
Dennis Schemm: Okay. And I think we're talking a lot about the benefit of being able to market with MLB as the official BAT. And obviously, that MLB marketing would start with the season. It doesn't your sales don't really tie or line up necessarily with that MLB season sponsorship. Not necessarily. MLB sponsorship does a lot for us. And that starts obviously early in the season, Q1. But that's at the player level, the pro level. We're already very invested. We have 56% market share with the pros. So our relationship into the MLB season is fairly baked even before Q1. And what MLB is really helping us is not only create that brand awareness at the MLB level, it's pushing it all the way down into our little league businesses and even frankly in the softball. So we are using that leverage to help us grow those businesses. And as we go through the season of MLB and filling the orders for that, different business profile, which is more spilm and air based. That sorts of pickups seem as we get as we go into the year. So start preseason not so big. You get in the main season Q2, Q3 and then finally in Q4 with October, kind of a different conversation. But early in Q1, not as big of an effect. What's interesting about and I'll just throw this out there. What's interesting about Q1 was the demand we saw with the torpedo that almost instantaneously like an overnight all of a sudden there was a whole new ballgame. Excuse the pun. That was not expected. Frankly. And we've pivoted pretty hard to fulfill that demand as it came across. Obviously, we didn't expect the Yankees to do what they did to create that all that positive noise for us. Team did well and pivoted and that did drive some demand in Q1.
Bret Jordan: Doesn't make legacy inventory obsolete though, right? Doesn't does not. And not every player is going to go to a torpedo bat. So you know there's a few that seem to do really well with them but there's a lot that still uses all the rest of our wood bags.
Bret Jordan: All right, thanks.
Operator: Thank you. And next we'll go to Scott Stember with Roth Oman. MKM. Please go ahead.
Scott Stember: Good afternoon. Thanks for taking my guys. Good, Scott. Circling back to, I guess, Brett's question, I guess. Trying to parse out SSG in the quarter. Could you just size up which one grew faster? Maybe give us just some rates just trying to get a sense of the direction of each one of them, at least coming out of the first quarter.
Dennis Schemm: Yeah. We don't wanna give out necessarily rates on each individual product line, but I would tell you that bike you know, both of them actually surprised us to our forecast. So both of them beat the forecast to the upside. Bike had a really good revenue quarter. Really impressed with what we saw. And I think that points to Scott some stabilization that we've been looking for a long time. We've talked a lot for a lot of quarters about looking for stability in bike and potentially recovery. Right now, I'm comfortable saying stability is where we are, where we've stabilized. We'll start talking recovery as we get into Q2, Q3 and Q4. But a real good quarter for us on the bike side. And the team was smiling. It's been a while. So, it was really nice to see the team with some positive view over the rest of the year and the product launches that we've got coming. So really impressive bike business. And again, Marucci, we expected it to be a down quarter because we didn't have the Caddix launch. In the Q1 period. That's a big launch. Hard to overcome that. The year-on-year comp is pretty tough. But with some of the other launches they had, went to Torpedo Bat and some other things. They did a real nice job beating their numbers. And that business continues to grow and expand throughout the year. So, we're really optimistic about the Marucci business and that team including Victus and Lizard Skins and Bombat. So, you know, nothing negative to report there at all. Just kind of a difference in timing of product launches.
Scott Stember: And then on the bike side, what are you hearing as far as retail for your I guess, the higher-end mountain bike market? What are you hearing as far as the pull-through? And obviously, you guys are getting back to a better sell-in situation, but how is that being pulled through?
Mike Dennison: You know, our bike like I said, our bike our bike business in Q1 was good. Our conversations with our OEMs are very positive. Man, I don't want to get out ahead of my skis. I think it's too early to start to you know, call victory lap on bike. Like too many quarters in the past we thought we were there or thought we were close to there and we weren't. So give us the benefit of doubt to have another quarter or two in our pocket before we say that we've you know, won the game, so to speak.
Scott Stember: Got it. And then last question on the lower-priced fork. That you have in the market, how it's performing? I know this is a pretty big year for that launch, right?
Mike Dennison: Yeah. I mean, that started last year, and it's So it's fork and shocks in Yep. So entry premium space. And, you know, that's done well for us. We've expanded our share. We didn't have any share in that space. So any growth there is good growth. And we're continuing to push forward in that space to expand our relationships with our OEMs. I think you'll see it continue as fairly that one's probably more linear in its growth curve. Than a lot of other businesses because it's just starting from zero and just every model year picking up a bit more and more spec. So, you know, we expect good things out of that part of the business over the course of 2025, model year 2026. And we'll just continue to push that forward.
Scott Stember: Got it. That's all I have. Thank you.
Dennis Schemm: Thank you.
Operator: And that concludes our question and answer session. I would like to now turn the call back over to Mike Dennison for concluding remarks.
Mike Dennison: Thanks, everybody. Appreciate the time today and have a good evening and we'll talk soon.
Operator: This does conclude the Fox Factory Holding Corporation's first quarter 2025 earnings call. You may now disconnect your line, have a great day.